Operator: Good morning. My name is Katherine I’ll be your conference operator today. At this time, I would like to welcome everyone to the Royal Gold fiscal 2009 Second quarter earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions) Thank you. Ms. Gross, you may begin.
Karen P. Gross: Thank you, operator, and hello everyone. Welcome to our second quarter fiscal 2009 conference call that is being webcast live today. You will be able to access the replay of the call on our web site at www.royalgold.com. Also on the web site, you will find our release detailing our financial results. As always, this discussion falls under the Safe Harbor provision of the Private Securities Litigation Reform Act. A discussion of the company's current risks and uncertainties is included in the Safe Harbor statement in today's release and is presented in greater detail in our filings with the SEC. Participating on the call today are Tony Jensen, President and Chief Executive Officer; Stefan Wenger, Chief Financial Officer and Treasurer; Bill Heissenbuttel, Vice President Corporate Development; and Bruce Kirchhoff, Vice President and General Counsel. A Q&A will follow our comments. Let me also mention that the call will include a discussion of the company's free cash flow, which is a non-GAAP financial measure. For your reference, there is a free cash flow reconciliation in this morning’s press release. Now, I'll turn the call over to Tony.
Tony Jensen: Good morning and thank you for joining us today. Our core producing properties provide a strong revenue base for the company during the period. Initial revenue contributions from the producing properties acquired in the Barrick transaction, totaled $4 million during the quarter. We also received first revenue from the Dolores and Benso Mines. We had two extraordinary events that influenced our second quarter results. In connection with the Barrick transaction, we recorded a $31.5 million gain resulting from the restructuring of our royalties at the Cortez Mine. If you remember we lowered our GSR2 royalty to match the GSR1 royalty rates, and remove the NVR1 and GSR3 royalties from the Crossroads deposit. The second extraordinary event was the negative pricing adjustments associated with final concentrate settlements a Cortez, Robinson Mine. During the fourth quarter the average price of copper was $1.79 per pound while average prices of copper during the third calendar quarter was $3.49 per pound. This 49% decrease resulted in quarter having significant negative final price adjustments that's translated into negative revenue adjustments for Royal Gold as well. I will turn the call over to Stefan so we can discuss the financial results for the quarter.
Stefan L. Wenger: Thank you Tony, Highlights for the quarter include revenue of $14.6 million compared with revenue of $14.7 million for the comparable period. Net income was $21.4 million or $0.63 per share compared with $4.6 million or $0.11 per share for second quarter of fiscal 2008. Free cash flow was $11.5 million or 79% of revenues, compared with $10.6 million or 72% of revenues for the previous period. We ended the quarter with a cash balance of $55 million and no long-term debt. For the six month period royalty revenue was $30.7 million. Net income was $27.1 million or $0.80 per share and free cash flow was about $25 million or 81% of revenues. The negative pricing adjustments of Robinson decreased our royalty revenue by about $3.3 million during the second quarter. Absent this pricing adjustment, the metal sales from Robinson for the quarter would have contributed approximately 2 million to royalty revenue. Therefore, on a net basis we recognized negative royalty revenue from the Robinson royalty at approximately 1.3 million for the quarter. The negative royalty revenue will be offset against future metal sales subject to our royalty. There is no provision in our royalty agreement that requires cash settlement by Royal Gold. As we look forward to our third fiscal quarter, our royalty will continue to be positively and negatively impacted by pricing adjustments. At the current copper price, we expect that our royalty would be subject to additional negative price adjustments ranging from $1 million to $1.2 million. Our DD&A charge increased to $8.5 million for the second quarter, compared to $3.6 million for the second quarter of fiscal 2008. Our average depletion rate on a gold equivalent basis was $436 per royalty ounce, compared with $172 per royalty ounce of gold equivalent production in the prior year period. The increased depletion cost per ounce this quarter was the result of lower production at Cortez. The impact of negative revenue at Robinson, which reduced the gold royalty ounces of production and the strong contribution to revenue from our more recent royalty acquisitions, which carried a higher cost per ounce in our more mature properties like Cortez and Robinson. The long-term carrying cost of our royalty portfolio as a whole is less than $400 per ounce. And as such, we expect that our depletion expense will be below this level over the life of our royalty assets assuming existing reserves. Now, I will turn the call back to Tony to review the operational and development elements of our business with you.
Tony Jensen: Thanks Stefan. Leeville and Goldstrike turned in solid performances for the quarter, both operations slightly increased their production goals, slightly exceeded their production goals for the year and Leeville was our second highest revenue source for the quarter. Production at Cortez was less than expected due to a change in the pit sequencing. Production focus we shifted to the Gap deposit, an area where Royal Gold has a royalty interest on about half of the deposit. The original mine plant called for a greater amount of production from stage nine, where royalty interest covers the entire area. Total production subject to our royalty for calendar 2008 was approximately 288,000 ounces compared to the operator's original estimate of 367,000 ounces. We are pleased to see initial production commence at Dolores during the quarter. We understand that the crushing and stacking rates averaged about 14,000 tonnes per day. And at times have exceeded the design capacity of 18,000 tonnes per day. Recovery of precious metals from the leach pad appear to be ramping up consistent with expectations. Minefinders expects to reach commercial production in just a few months in the second quarter of calendar 2009. Once commercial production is reached our 2% NSR royalty on gold and silver would take effect, which is an addition to our 1.25% NSR royalty on gold, which is currently providing us revenues. At Mulatos, Alamos most recently announced strong fourth quarter in calendar year production. We are pleased to add additional royalty revenue for the quarter due to our increased royalty rate. Prior to the Barrick transaction, we had a 1.5% NSR royalty on this property. The acquisition consolidated the Mulatos royalty and increased our royalty interest to 5% at current gold prices. During the quarter we recognized approximately $1.1 million, an additional royalty revenue from Mulatos for a totaled of $1.5 million for the period. Robinson announced a new mine plan that is expected to maximize revenue and reduce operating costs over the next several years based on the copper price in the range of $1.50 per pound. The new plan alters the mine sequence from the Veteran pit to a smaller satellite pit, and then to Ruth pit at the end of calendar 2010. The previously announced Veteran extension, which is expected to add two years of additional reserves, will now be deferred until after the Ruth pit is complete. This shift in mine plan does not impact our royalty interest as our royalty covers all of these deposits. We have been keeping a close eye in operations at Taparko and had our consultant on site just last week. Since, the Taparko mine commenced gold production in August 2007, we have received of approximately $9 million in royalty revenue. The mill recommenced operations during the quarter on November 4th following the installation of a new gearbox in the grinding mill drive-train. Since the mill restarted Taparko has been running at about 80% of design capacity, which seems to be a comfortable balance between throughput and recovery. High River implemented the scheduled mill shut down which took place in mid January to further reduce drive-train vibrations. While we understand that those efforts were successful, there is further work planned to improve the contact between the pinion and bull gear. One final property in our producing portfolio I would like to mention is the Benso royalty, which we acquired in October 2007. We saw initial royalty revenue of approximately $400,000 from this property during the second quarter on production of nearly 39,000 ounces. Turning to the development stage properties, at the Malartic project in Canada we own a 2 to 3% sliding scale NSR royalty. In November as Cisco announced the results of positive feasibility study highlighting improving and probable reserves a 6.3 million ounces of gold, of which 4 million ounces are subject to our royalty interest. We also understand that the economics of the project could be enhanced with the addition of the nearby South Burnett deposit. Even though our royalty does not cover this area, we are encouraged by this news as they could benefit overall project feasibility. And at Peñasquito, we are moving closer to mechanical completion for the construction of the first sulfide circuit. We understand that the project remains on schedule for a mid year startup of the sulfide mill and production of initial concentrates in the fourth quarter of 2009. So in summary while our second quarter fiscal results were impacted by two extraordinary events. The majority of our portfolio performed well. This is an advantage of having a diversified revenue portfolio. In particular, we were pleased with initial contributions from our recently acquired properties as well as from Benso. And the continuing ramp up of our newer producing properties. We have a portfolio that is concentrated in gold and during the past six months, 81% of our revenue came from gold. As a diversified global precious metals royalty company, we have generated a track record of strong performance blending the operational risk with strong long-term growth potential. This is an excellent business model for the current economic environment as tight credit and potential inflation on the horizon with the expensed monetary policy through government spending. This is a very good environment for gold and for Royal Gold. With that operator this concludes my prepared remarks and we would be happy to take any questions if there are some.
Operator: (Operator Instructions). All right. Our first question comes from the line of Victor Flores with HSBC. Your line is open.
Victor Flores – HSBC Securities: Yeah, thanks. Hi Tony. Help me out a bit with this provisional pricing situation at Robinson there, is this situation where they paid you based on the royalty rate and then based on their contracts with the smelters they've had to pay money back, and so they're going to take it out of your future revenues. Or did they just not pay you because they knew that was going to happen?
Tony Jensen: Victor, I think the former is the correct one, where the first pricing that happens, there is three different pricings during the course of settlement. The first pricing happens immediately when they load it on the ship and of course that was done back four months ago or so at higher copper prices. And then there is a second provisional that gets paid that [fuse] up the grade and the tonnage at the smelter, but the final pricing. The final value of the metal is not determined until of our four months or three to four months after shipment. So, the initial payments were essentially an overpayment from the smelter and then there is an adjustment down with the reduction in significant copper price movements. So, we don’t have to pay any money back, but, we were paid in advance as well and so the revenues that we received earlier are just being netted against royalties that we otherwise would receive during the fourth quarter. The fourth calendar quarter.
Victor Flores – HSBC Securities: Okay. So, but you did receive payment during the quarter?
Tony Jensen: No, the and the reason for that is because the negative price adjustments exceeded what the production royalty would have been. So, let me try it again.
Victor Flores – HSBC Securities: Okay. So, you got, so the number was sort of negative 1.3, but they didn't give you anything and then you are going to have to I guess not get revenue from them once the copper price improves?
Tony Jensen: You have got it.
Victor Flores – HSBC Securities: Okay.
Tony Jensen: Okay.
Victor Flores – HSBC Securities: Thank you. I mean it should be clear, but I just wanted to ask the question on that.
Tony Jensen: No, it's an anomaly this quarter so. Thanks for everybody on the phone to [listen] to that.
Victor Flores – HSBC Securities: I hope it is an anomaly.
Tony Jensen: Well.
Victor Flores – HSBC Securities: Second question goes to the Barrick portfolio, I quickly sort of added up what I saw from the press release and the 8-K as to the revenue and you mentioned a figure of 4 million I could only get just hair over 3. What am I missing?
Tony Jensen: Stefan, do you want to handle that.
Stefan L. Wenger: Victor, what you might be missing is you need to take our revenue from Mulatos, which was $1.5 million for the quarter, 70% of that was new revenue coming from the Barrick acquisition.
Victor Flores – HSBC Securities: Right. That was 1.1.
Stefan L. Wenger: 1.1 and then you add all of the other Barrick.
Tony Jensen: And you had Siguiri at about 1.3.
William Heissenbuttel: Yeah. Victor it's Bill Heissenbuttel.
Victor Flores – HSBC Securities: Hi.
William Heissenbuttel: The producing properties Mulatos, Siguiri, Mt. Goode, Balcooma, El Toqui, Allan, Twin Creeks and Wharf if you add all of those up, you will get to exactly $4 million.
Victor Flores – HSBC Securities: I am sorry, I left, now I know, which one was, since I was missing Twin Creeks. Okay, we are good.
William Heissenbuttel: Yep.
Victor Flores – HSBC Securities: And then finally I was a bit surprised to hear you say that the 2% Dolores royalty doesn’t kick in until commercial production even though the other one is already generating revenue was that a specific clause in that royalty or is there something else there that I am missing?
Tony Jensen: No, Victor those are really two different royalties and one allows for payment at the first ounce of production and the other one allows payment after the mine has reached 75% of commercial, our installed capacity. So, we think that's going to happen they're very close to that figure during the months of January and we think that's going to happen here in the next three months.
Victor Flores – HSBC Securities: Okay. So, just in the particular details in that royalty agreement?
Tony Jensen: Yeah. You'll remember we didn't write that one, that's one we purchased in the Bald Mountain acquisition and that was just one of the features of that acquisition.
Victor Flores – HSBC Securities: Right. No, I just assume that would pay from day one. My mistake, okay.
Tony Jensen: Thank you, Victor.
Victor Flores – HSBC Securities: That's good. All thank you. I will let someone else ask questions. Thanks.
Operator: Thank you very much. (Operator Instructions) And our next question comes from the line of Paul Durham. And Mr. Durham is with HSBC Securities. Your line is open.
Paul Durham – HSBC Securities: Hi Tony. Just a quick one, I sort of see the comment in Taparko in the statement is there anything else you can sort of flush out for that for us, because clearly it’s still an issue as far as you're concerned. Can you give us any more skin on the bones?
Tony Jensen: Good morning, Paul. Say, I can maybe put a little more color too. We are actually somewhat pleased with how the mill has been performing since November 4. The new grinding, the new gearbox went in and a significant amount of vibrations went down at that point. We knew that that was an issue that had to be addressed. The work that was done in January, involved putting a new sole plates or it’s the anchoring of the mill motor to the foundation. And that to we were aware of needed to be redone and our independent engineer that was over there last week reports that that work was done very, very well. So, now the we are just kind of knocking these things off and I use we very loosely it's the High River folks that are doing all this work, but they're knocking the vibration off at each juncture and they still want to improve it over in the pinion and bull gear side. So, we applaud them for the work that they have been able to do and the improvements they have been able to achieve, but there is still a bit more work to do.
Paul Durham – HSBC Securities: Okay. Thanks for that.
Tony Jensen: Thanks Paul.
Operator: All right. Our next question comes from the line of Andy Schopick with Nutmeg Securities. Your line is open.
Andrew Schopick – Nutmeg Securities: Thank you. My question also was on Taparko and its just been answered. Thank you.
Tony Jensen: Thank you, Andy.
Andy Schopick - Nutmeg Securities: Yeah.
Operator: All right. Our next question comes from the line of Adam Schatzker with RBC Capital. Your line is open.
Adam Schatzker – RBC Capital Markets: Hi, this is Adam Schatzker, RBC Capital Markets. Just a very quick question for you and may be I have missed it in your previous disclosure, but have you or will you be disclosing the allocations of the purchase price to the Barrick assets?
Tony Jensen: Stefan, would you take that?
Stefan L. Wenger: Yeah, Adam. The first disclosure of our allocation to the Barrick purchase price will be in our 10-Q that we expect to file sometime in the next two days. That won't be a final allocation, what we are going to do is we will be updating our reserve estimates as provided by the operators over the next several months, and once we have those updates and we are able to complete our evaluation work on the deal completely, we will put out a final purchase price allocation at that time.
Adam Schatzker – RBC Capital Markets: Okay, thank you very much. And one quick question the Allan Potash mine, was the tonnage that you reported there representative of what you think is going to be going forward?
Tony Jensen: Bill, could you answer that question.
William Heissenbuttel: Sure. I think the fourth quarter at Allan we are still affected by the strike there. So, I can't give you, sort of a full year estimate, but I would say it's probably a little bit lower than we would have expected.
Adam Schatzker - RBC Capital Markets: Great. Thank you very much. I appreciate your answers.
Tony Jensen: Thanks Adam.
Operator: Our next question comes from the line of Adrian Day with Adrian Day Asset Management. Your line is open.
Adrian Day – Adrian Day Asset Management: Thank you, yeah. Thank you. Good afternoon. Listen I just had sort of, I would like you to talk a little bit if you wouldn't mind about how you see the overall environment, are you looking more at existing royalties or creating new royalties, and then in the environment have you noticed, do you think prices have adjusted sufficiently for the, credit problems that we see or is it more terms that have adjusted more than price. Could you just talk a little bit about the environment?
Tony Jensen: Adrian, let me just clarify your second question when you say have prices adjusted, which prices are you.
Adrian Day – Adrian Day Asset Management: I am sorry prices of royalties, the people are asking for royalties?
Tony Jensen: Okay, so our acquisition potential…
Adrian Day – Adrian Day Asset Management: Correct, correct. I am sorry, yes.
Tony Jensen: Yeah, that was the nature, the last bit of my closing remarks I think this is a wonderful environment for Royal Gold. We have seen obviously companies that have, not been able to get credit or credits very tight or expensive. Those companies tend to come to us and also we've seen companies that here to four at least in the last six months have not been too interested in issuing equity. And so Royal Gold is a natural source of capital for those folks. So, I think we've kind of moved a little bit more focused in the possibility of generating new royalties through financing then just focusing on existing royalties, it seems to be some many good things out there for us to review, and we certainly are build very busy these days.
Adrian Day – Adrian Day Asset Management: And specifically though are the acquisition prices do you think that are now realistic or do you think there is some downsides still to come?
Tony Jensen: Well I really believe that’s a function of each and every individual that's selling, I can tell you that I feel that the cost of capital is going up obviously throughout the market, and so we are probably in a little better position now to demand a little bit better terms, but we have good competition out there as well.
Adrian Day – Adrian Day Asset Management: Right.
Tony Jensen: So, we obviously are going to be very prudent with our uses of capital, and one only get into things that are accretive over the long-term for us. So, I don’t know that the markets changed that dramatically, but I think the most important change is one in which there just seems to be more opportunities for royalty these days.
Adrian Day – Adrian Day Asset Management: Okay, thank you.
Tony Jensen: Thanks Adrian.
Operator: Thank you very much. At this time there are no further questions in queue.
Tony Jensen: Well thank you very much for joining us today. We very much appreciate your interest in Royal Gold, and we look forward to continuing to update you during our progress over the next quarter. Thanks very much.
Operator: Thank you for using the conferencing services. At this time you call has concluded. You may disconnect your lines.